Operator: Good morning, and welcome to the Perseus Mining Investor Webinar and Conference Call. [Operator Instructions] I'll now hand over to Perseus Mining Managing Director and CEO, Craig Jones. Thank you, Craig.
Craig Jones: Yes. Thanks, Nathan, and welcome to Perseus Mining's December 2026 (sic) [ 2025 ] Interim Financial Report. I'm joined today on the call by Lee-Anne de Bruin, our Chief Financial Officer. and I'll hand over to her shortly. But before I do, Perseus produced a strong operating result during the half. And with our low cost and favorable gold prices, we're pleased to increase our interim dividend to $0.05 per share. And the other news that we released today is a substantial increase in the ore reserves and mineral resource estimate for Nyanzaga, which extends the life of that mine by 5 years and really highlights the quality of that asset. So I'll pass over to Lee-Anne now to take you through the details of our report. However, before I do, I'd like to acknowledge Lee-Anne and her team for the tireless work to produce this financial report, and thanks go to her and her team for the excellent work.
Lee-Anne de Bruin: Thanks, Craig. And hi, everyone. Welcome to our call. The 6 months to December delivered a very strong solid operational performance as our mines transitioned into new mining areas and we made significant progress with our capital growth projects. Perseus produced 188,841 ounces in the 6 months with an all-in site cost of $1,649 per ounce. The average gold price achieved was up 38% at $3,241 an ounce. And our cash margin per ounce was up at $1,592 per ounce for the 6 months, generating notional cash flow of $301 million and ending the half year with $755 million in cash and bullion on the balance sheet. The operational performance delivered by our Perseus sites has translated into a great financial performance for the 6 months ended December '26 (sic) [ '25 ]. As CFO, I have the privilege of being able to share these results with you, which represent the efforts of all the Perseus team over the last 6 months. Thanks to each member who has contributed to this result. We couldn't do it without you. Revenue for the 6 months increased by 5% against the 2024 comparative period to $608 million. And this was largely due to the 38% increase in the average gold price realized, as I've mentioned, offset by our anticipated reduction in gold produced during the 6 months. Just quickly focusing on cost of sales, which plays into the EBITDA number. This increased on the comparative period, and this is largely attributable to the higher royalties during the period, culminating with higher gold prices. In addition, as we've mentioned in our quarterly, we had a 2% increase in royalty rates in Côte d'Ivoire, totaling $20 million, which was included in this period, of which $9 million related to the 6 months ended June '25. Further, the primary ore resources for Yaouré have transitioned to the Yaouré open pits and Edikan has transitioned to the Nkosuo open pit, both of which have higher concentrations of waste and lower overall grades. This obviously would increase the total cost to produce each ounce compared to December 2024. The slight increase in revenue was offset by the increase in cost of sales and delivered an EBITDA of $316 million for the 6 months. Moving to profit after tax. This was -- this achieved was USD 186 million, 8% lower than the comparative period. Key items to note were that the depreciation and amortization decreased by 46% on the comparative period, mainly driven by lower ore tonnes mined, resulting in lower mine property and deferred stripping amortization. And this was also as a result of the completion of the Edikan, AG and Fetish pits and the Yaouré Stage 1 and the CMA Stage 3 pits by June '25. We also incurred a foreign exchange loss of about USD 27 million, which was due to the impact of the weaker U.S. dollar against the euro on a certain balance sheet transactions such as bank balances. Overall, the group has maintained stable profits during the period and generated net cash from operating activities for the half year of USD 194 million. EPS for the period was at $0.1210 per share. And as Craig mentioned earlier on, Perseus Board of Directors approved an interim dividend of $0.05 per share, which is up 100% on the December '25 interim dividend, and I'll speak a little bit back to that shortly. Importantly and always has been a focus of Perseus as we pivot to the balance sheet, the financial performance in the 6 months has positioned Perseus well to deliver on our future growth opportunities. As mentioned earlier, we ended the year with USD 755 million of cash and bullion on our balance sheet, and this is after investing USD 175 million in our growth projects and exploration. In December '25, Perseus successfully refinanced and upsized its existing USD 300 million facility to USD 400 million. This also includes a $100 million accordion option and has a 3-year term with options to extend for a further 2 years. The cash and bullion, coupled with the newly upsized and undrawn facility, give Perseus just under $1.2 billion in liquidity to deploy in further opportunities. In addition to this, Perseus also had listed securing investments of about USD 230 million, which, as you'd be aware, include our 17.8% investment in Predictive. And capital returns to shareholders, in line with our dividend policy, which aims always to reward shareholders, while maintaining balanced capital structure to fund our corporate growth objectives. The Perseus Board resolved to declare an interim dividend of $0.05 per share, up 100% on the FY '25 interim dividend. This dividend was declared by the Board, giving consideration to the balance sheet position and upcoming forecast cash flows from our 3 existing operations and the development of the project in Tanzania, Nyanzaga. In addition, during the 6 months, Perseus renewed the share buyback program at AUD 100 million in August last year. And as of today, Perseus has repurchased AUD 9 million worth of those shares of the renewed share buyback program. Perseus has maintained a disciplined commitment to its articulated capital management framework during the 6 months, and we've ensured operational discipline to deliver reliable and strong operating cash flows, while obviously ensuring we meet our commitments to all our stakeholders. As I mentioned, the 6 months delivered $301 million in notional cash flow. Importantly, we paid $144 million to our host governments in corporate income taxes, withholding taxes and royalties. And we made further economic contributions of $340 million, which includes local procurement and community contributions. We've then also focused on our balance sheet resilience, which I've spoken to earlier on with a liquidity of $1.2 billion. And then we have then invested ongoing discretionary investment, and this is evidenced through USD 175 million we've invested in our projects, of which $150 million went to growth capital at Nyanzaga, CMA underground and Bagway and about USD 25 million in exploration, some of which has delivered the increase in the Nyanzaga reserve that was released this morning. This brings me to the end of the financial presentation, and I'll now hand back to Craig.
Craig Jones: Yes. Thanks, Lee-Anne. And looking ahead, so for FY '26 and as outlined in our December quarterly release, our production guidance remains unchanged. So group gold production in the range of 400,000 to 440,000 ounces and with production obviously weighted to the second half of the year. Our group all-in site cost guidance range has increased as we outlined in our quarterly from a range of $1,460 to $1,620 per ounce to a new range of $1,600 to $1,750 or $1,760 an ounce. And that really has been -- the guidance has been updated to reflect the increase in gold price assumptions and the resulting increase in royalty costs. We've also allowed for the 2% royalty increase in Côte d'Ivoire for Yaouré and Sissingué, whilst we discuss the fiscal arrangements with the Ivorian government to result in a fair and equitable distribution of mining proceeds through these unprecedented gold prices. Our gold price -- our gold production is weighted to the second half and with the inclusion of the new higher-grade ore sources at Edikan and Sissingué and as per our mine plan. And it's also expected that Yaouré will produce in the lower half of its cost guidance -- sorry, our production guidance. Nyanzaga, so during the quarter, we progressed our organic growth work, which focuses on resource to reserve conversion at our existing mines. It is also focused on brownfield exploration and the development of a greenfield's exploration portfolio. And along with our half 1 '26 results this morning, we're pleased to release the updated ore reserve for the Nyanzaga Gold project in Tanzania to 4 million ounces. This represents a 73% increase from 2.3 million ounce ore reserve reported in April 2025 and as part of the updated Nyanzaga project feasibility study. The mine life is extended to 16 years, and that includes 14 years of production at greater than 200,000 ounces per annum, which cements Nyanzaga as a long-life, low-cost mine and a cornerstone asset for Perseus for many years to come. The ore reserve increase at Nyanzaga is based on further cutback to a large-scale open pit mining operation as outlined in the feasibility study. The total gold production over a 16-year period is currently estimated to be 3.5 million ounces based on JORC 2012 probable ore reserve of 90.9 million tonnes at 1.38 grams a tonne for 4 million ounces of gold production. And gold production exceeds 200,000 ounces per annum from FY '28 to FY '41. Applying Perseus's assumed long-term gold price assumption of $3,000 an ounce, the Nyanzaga AISC metric updated to $1,621 an ounce over the life of mine. I recently got back from my second trip to Tanzania and the progress we're making on the ground in Nyanzaga is fantastic. The steel erection has commenced in the milling facility and pre-stripping of the Tusker deposit has also commenced. So the project is well on track to enable first gold pour in January 2027. We're also progressing with updated mineral reserve estimates for our other existing mines with an update to Yaouré expected towards the end of this financial year, and Edikan will follow in December 2026. So those 2 updated estimates are focused on extension of the mine life of our existing assets. This slide really highlights the diversified nature of our portfolio. Operating across 3 African countries, we have ore reserves of 6.69 million ounces and an additional 2.85 ounces in foreign estimates at Sudan. The release of our update to the Nyanzaga reserves and resources is the first step of our work to highlight the potential of our existing portfolio through resource conversion, and we look forward to updating the market on Yaouré and Edikan later on this year. Alongside our financial and operating performance, Perseus continues to deliver tangible value to our host communities and governments. This slide captures the breadth of our contributions. In the first half of 2026, our economic contribution reached $484 million across our host countries, and this includes $308 million in local procurement, which directly supports national supply chains and local business development. We also contributed $144 million in taxes and royalties and $3.37 million in community contributions as we continue to support our local development funds and key community initiatives. Our workforce is overwhelmingly comes from the regions in which we operate with 95% of our workforce coming from our host countries, and this is a reflection of our commitment to building local capability and building the skills base that our future growth depends on. For our safety indicators reflect a strong safety performance, but the reality is that true safety performance is ultimately reflected in human outcomes, not statistics and the recent fatalities at Sissingué are a testament to that. Sustainability is at the core of our purpose and guides how we deliver results, creating value and building resilience. And that's what makes Perseus a trusted partner in achieving its mission of creating material benefits for all stakeholders in fair and equitable proportions. During the half, we continued to deliver solid operating performance, generate strong financial returns and progress our strategic growth objectives, all while maintaining high sustainability standards. With a strong balance sheet, high-margin operations and clear growth path, we believe we're well positioned to continue delivering long-term value for all of our shareholders and stakeholders. So thank you, and I'll hand over to the floor for questions.
Operator: [Operator Instructions] Your first question comes from Ben Wood.
Ben Wood: I was just going to ask one on the government negotiations with the Côte d'Ivoire government on royalties sort of moving forward, what sort of impacts? Do we know the granularity of what to expect moving forward? Or are they still sort of taking place?
Lee-Anne de Bruin: Thanks, Ben. Yes, I mean we sort of have a little bit of understanding, okay, but we're not in a position to sort of put that out there. But I think the important thing is we don't see any radical change from what we've got today and Ivorian government are being very open and very pragmatic around the impact of wholesale royalty changes. So the point of the whole thing is that they will be releasing a new mining code sometime this year, and they want to make sure that any changes are ratified into the new mining code.
Ben Wood: And so they're sort of consulting various companies and engaging strongly, are they...
Lee-Anne de Bruin: Yes, they...
Ben Wood: Then [indiscernible] a hard line on it. No, very highly engaged, very open. We had meetings. The industry are very unified together in this. So it's actually probably one of the best I've actually seen in my history of working where the industry has mobilized and working very collaboratively with the government...
Operator: There are no further questions at this time. So I'll hand back to Craig for closing remarks.
Craig Jones: Thanks, Nathan. I think we're pretty pleased with our results and the performance of the company in the first half, and it really sort of bodes well for our delivery of the second half. I'm very pleased to be able to release the $0.05 per share dividend. I think that's a positive indication of how things are going and also the upgrade in the resource and reserves at Nyanzaga, which really shows that Nyanzaga is a cornerstone asset for Perseus for many, many years to come and will be a long-life, low-cost asset. So some fantastic work going on the business. I really want to thank everyone within the organization for their support and their efforts to create the results that we have created and look forward to presenting the next round of updates in the next quarter.